Operator: Good morning, ladies and gentlemen ,and welcome to the 2019 Third Quarter Results Conference Call for Russel Metals. Today's call will be hosted by Ms. Marion Britton, Executive Vice President and Chief Financial Officer; and Mr. John Reid, President and Chief Executive Officer of Russel Metals Inc. Today’s presentation will be followed by a question-and-answer period. [Operator Instructions] I would now like to turn the conference over to Ms. Marion Britton. Please go ahead, Ms. Britton. Thank you.
Marion Britton: Good morning, everyone. I'll start on page 3, reading the cautionary statement. Certain statements made on this conference call constitute forward-looking statements or information within the meaning of applicable securities laws, including statements as to our future capital expenditures, our outlook, the availability of our future financing and our ability to pay dividends. Forward-looking statements relate to future events or our future performance. All statements other than statements made of historical fact are forward-looking statements. Forward-looking statements are necessarily based on estimates and assumptions that, while considered reasonable by us, inherently involve known and unknown risks, uncertainties and other factors that may cause actual results or events to differ materially from those anticipated in such forward-looking statements. Our actual results could differ materially from those anticipated in our forward-looking statements, including as a result of the risk factors described below in our MD&A and in our Annual Information Form. While we believe that the expectations reflected in our forward looking statements are reasonable, no assurance can be given that these expectations are proved to be correct and our forward-looking statements included in this call should not be on duly relied upon. These statements speak only as of the date of this call and except as required by law. We will not assume any obligation to update our forward looking statements. Turn over to page 5 and I'll speak to our third quarter results. Q3 earnings $18 million or $0.29 of EPS compared to last year, which was a record quarter of $1.10 of EPS. Nine months ended we have earnings of $83 million or $1.34. During the quarter, we generated significant cash -- or I mean for the nine months significant cash of $59 million and -- of accounts receivable and $80 million from inventory. Free cash flow for the nine months to September $134 million or $2.16 compared to $3.86 last year. Return on equity, 13%. And we yesterday declared our dividend for the quarter. Turning to page 6. Speak a little bit to the market condition. We experienced lower demand in all business segments. Steel prices were down also in the quarter and we believe steel prices are at/or near the bottom. Metals service centers selling price decline was the biggest driver of the metal service decline in earnings. Selling price was down 11% compared to Q3, 2018 and was down 7% compared to Q2, 2019. The tons were down in the quarter on a same-store basis compared to Q3 2018 by 5%. Rig count in both U.S. and Canada are significantly down year-over-year, which has impacted our demand in our energy segment. As I said revenue for energy were down 17% compared to Q3, 2018. Moving forward to the next page 7. This is our chart that gives you the four-year look back and our comparison to the nine months last year. You'll note that our accounts receivable I mentioned had generated significant cash for the nine months, but it is also down very significantly from where we were at this point in Q3, 2018 due to the revenue decline. Further down this page, I'll point out the capital expenditures. So far this year we spent $24 million on CapEx compared to $31 million last year. We do continue to add value-added equipment in a number of our service centers, which we do believe is helping keep our demand and a little hot better than the industry. We don't anticipate expending more than -- or we anticipate spending this year less than the 2018 number of $40 million, we'll expect to be in the low $30 million for CapEx this year. Turning forward to page 10. Just point out the cash flow from accounts receivable and inventory. And on that other highlights page we have the nine-month numbers. But you'll note that there was a significant drop in inventory in the quarter. We continue to work on reducing inventories to get rid of higher-priced inventories in the segments and to position ourselves particularly in energy where we have lower demand. Turning forward to age 13. I'll mention here that we completed the acquisition of City Pipe on October 1st. The more specific details on the acquisition are in Note 22 of our complete statements that were filed yesterday on SEDAR. The acquisition price in U.S. dollars ended up to be $106 million because they have brought down their assets to keep it in line with their revenues. The acquisition price consisted of US$56 million of net assets plus $50 million of goodwill. We have not completed the actual allocation of the -- to fair market value to the assets, but that will be done by year-end. Turning forward to page 14. This is our normal chart, which has our comparison to the prior year, plus shows the gross margin and our EBIT margin. Looking at this, we'll speak to the metal service EBIT. Our gross margin of 18.5% that compared to the year-to-date of 18.8%. Margins held quite well in the quarter considering the fact that prices came down in the quarter and came down more after the end of the quarter. We're expecting that it will be in this range or slightly less in the Q4 period. Energy products was impacted slightly by some NRVs that we had to take with in that segment. I'll speak to that a little bit later and mix. But mainly the energy decline in margins has to do with the impact of lower rig counts on OCTG product. Steel distributors similarly had pressure on their margins due to the reduction in their prices of steel. Moving forward to page 17. Just to speak to how the year is nine months compared to the quarterly numbers. The tons for the quarter were down 5%. Year-to-date were down 6%, which we're anticipating similar numbers for Q4 on the demand side. On the selling price we actually year-to-date we're up 3% because last year if you remember we kind of went up during the year where this year we've been coming off. But in the quarter we did have a significant decline at 11% and we anticipate average selling price over last year's Q4 to be down similar double-digit number. Turning forward to page 18. We did take some NRVs and continue to shake some obsolescence reserves in our energy group NRV related to items that we have received with tariff on them and relooking at price of steel. So the NRV was around $5 million and we had $2 million of obsolescence taken in our energy segment. There was approximately $1 million each in steel distributors and service centers also NRVs just to make sure we were in line with current pricing of products. Turning forward to page 22. We have our normal charts here on our inventory values and turns. You see the significant drop in inventory in service centers from December $427 million, down to $334 million. Both tons and price are -- have come down. Our service centers have been managing down their inventories very well, trying to get down to a level, where they can start purchasing at lower prices. Energy products have not been able to bring their inventory down as much as we would like, basically due to demand. We continue to work on trying to get our energy product inventory in line with where we see the demand for the next six months. Steel distributors continue to bring theirs down as they have taken them up during the time when the tariffs were on, but they're now rightsizing them to that to which would be normal based on revenues we anticipate. Those are my comments for the quarter. We'll open it up for questions.
Operator: Thank you. Ladies and gentlemen, we'll now begin the question-and-answer session. [Operator Instructions] Your first question comes from Michael Doumet, Scotiabank. Please go ahead.
Michael Doumet: Hey, good morning guys.
Marion Britton: Good morning.
Michael Doumet: Marion, I caught you providing some margin guidance for Q4 for MSC. Just wondering, for the energy products segment, I mean given the declines demand and pricing-wise, what should we expect for Q4? And should that hopefully be the bottom?
Marion Britton: I would say between $16 million and $17 million, would be my expectation could be down slightly from where we were this quarter. It really will depend on price and it -- OCTG if we have very little volume, we may have a bit of a mix pickup, but I would say it possibly down a bit.
Michael Doumet: Okay, that's helpful. And then aside from OCTG, what categories of products are you seeing the most margin pressure? And any potential risk of a write-down in Q4 or potential magnitude there as well?
Marion Britton: John, will speak to the price of steel issues.
John Reid: On the service center side Michael, we're in really good shape. Returns are -- we're continuing to move in the right direction. And we've done a really good job. We have some exposure on the distribution side, but the write-downs would be small. So, I don't think there's any thing material there that's left. Bigger concern would obviously be energy. It typically lags 45 to 60 days due to it being a substrate of hot-rolled product. So as coal pricing looks to have dipped and hit the bottom, we've seen a slight increase now with increase in scrap pricing. You would hope the same is true for OCTG and Line Pipe, but based on the demand pressure that's out there, I would imagine that we'll remain pretty aggressive. So, if there is anything remaining, we think it would be in that category.
Michael Doumet: Okay. And could you maybe size that up for us just in terms of range or magnitude?
Marion Britton: I wouldn't say much bigger than what we've had like that would be my expectation, but -- so, if prices don't do another breakdown.
John Reid: Some of which stay flat and that holds then I think it would be significantly less than we did in Q3.
Michael Doumet: Okay. Well, thanks.
Operator: Your next question comes from Michael Tupholme, TD Securities. Please go ahead.
Michael Tupholme: Thanks and good morning. You provided a little bit of commentary around your thoughts on steel prices, suggesting you think we're at or near bottom. And as you mentioned, we've seen scrap in November tick up and HRC has come up in the last few weeks. John, wondering if you can talk a little bit about plate prices and what you see happening there?
John Reid: So I think, plate prices, if you look at them in relation to historical spreads with coil pricing each, I think coil may have overcorrected a little bit. Part of that's due to mills pressing forward with utilization. They may run a little heavier rate than demand. And so, I think we may have overcorrected. So, I think plate is getting close to a bottom. Well we've seen a recent downturn on plate, a recent price decrease. I think, we're getting close to a bottom there as well. If scrap pushes forward, then that's going to raise the input costs. Unfortunately, I'm not a big fan of price increases sustaining based on input cost increases because scrap can turn again. Demand, I get pretty bullish when demand is driving it so that's -- I think we're getting to a bottom. Again, if scrap drops $30 then, we'll all move again.
Michael Tupholme: And is there any chatter about price increases on the plate side? Or is it too early for that you think?
John Reid: I have not heard any on the plate side. I've heard them on the coil side. Again, some of that is appearing to stick on the coil side, but I've not heard any on the plate side. Well, I haven't heard anything. I think we're going to stick.
Michael Tupholme: Okay. Marion, with respect to service centers the same-store tons shipped down 5% year-over-year. I apologize, if I missed this, but did you provide some sense for how we should be thinking about that in the fourth quarter?
Marion Britton: Yes I think we were -- year-to-date we're down 6%. So, I would think we're going to be in the 5%, 6% range fourth quarter also year-over-year.
Michael Tupholme: And how do you think demand and shipments look in that segment as we look a little further out to 2020? I mean, I suspect, you're going to face some easier comps, so I don't imagine you're going to expect to see those kinds of declines throughout next year. But how do we think about that? Do you see an opportunity for some growth? Or what are you thinking about?
John Reid: As we've -- historically, when we've entered the down markets Michael, our people are very adept at managing inventory, managing working capital and taking cost out of the model, but that's when we've typically grown our business. So, we've either done it via adding new equipment for value added processing, whether its lasers stretcher levelers, whether it was by acquisition or just taking organic market -- we're such a transactional business. We look at down markets as a real opportunity for us to thrive.
operator:
Michael Tupholme: No, that's a good point, John. Regarding share gains and then the value added, do you think though the overall market, how should we think about the overall market so we can sort of overlay your own share gains and growth through value-added on top of that?
John Reid: Your guess would be as good as mine. We're not built to predict the market. We're built to react to it better than anyone out there.
Michael Tupholme: Okay. Fair enough. I don't know if I -- if you would say the same thing. But with respect to energy products, any thoughts on how we can think about the outlook for next year? I mean, maybe you have a better sense given some of the commentary from some of the industry players on the rig count side, but I don't know if the visibility there is tough as well?
John Reid: I mean the rig count visibility is obviously tough. We think we're getting near a bottom on rig count. It looks like we're seeing some stability in oil pricing now. The change in the model dynamic is obviously the E&P companies having to learn to live within their cash flow budgets and run what I would say like a real business for the first time. So, they can't outrun their cash flows, and so they're having to live within budget constraints. So, I think we've seen that reset this year. I think through our City Pipe acquisition, our Apex, Apex Remington stores; we will see growth out there. If it continues to stay at this level, we have to maintain the rigs. But any uptick at all we'll see the growth. And then through LNG, the project in Canada, we're starting to see some growth there. And also, we have one project one in the sands through Comco that's doing very well.
Michael Tupholme: Okay. And actually it was going to be my last -- just I was going to ask you about LNG. Is there an actual opportunity that you've been presented with so far? Or is this more sort of prospective as we get further into the year and 2020?
John Reid: It's more prospective. We're putting bits together. We're looking at opportunities on how we can do the projects where we do the engineering work with the purchasing teams. So, it looks like those are real projects. I feel better about that than I do infrastructure how's that?
Michael Tupholme: Okay. Thank you, very much.
Operator: Your next question comes from Ryall Stroud, RBC. Please go ahead.
Ryall Stroud: Hi, good morning everyone. This is Ryall Stroud calling on behalf Derek Spronck, RBC. Thanks for taking my questions today.
John Reid: Thank you.
Ryall Stroud: Great. So I guess to start off. With the City Pipe acquisition now fully accounted for, what does the currency deleveraging cadence look like? And is there a number or a target leverage range that we should expect for year-end 2020?
Marion Britton: No, we don't have a target leverage. I mean, we will bring -- throw off cash if the demand's not there. Otherwise, we will -- we'll move with wherever it is. Our leverage, we look at is our debt to equity, which we expect to improve as we throw off cash from working capital. But we'll see what happens. We basically use cash that was on our balance sheet to do the acquisition because we have cash in the U.S.
Ryall Stroud: Okay, great. That's helpful. And any color around what the margin profile looks like for City Pipe? And maybe any commentary around what potential synergies might look like as well on a run rate basis?
Marion Britton: The margin profile of it is similar to our Apex operations that we already own. We did give their 9-month EBIT and revenue number in the commentary and you can see that it was about -- above 10% for the 9-month period. So similarly they run at strong EBIT margins.
John Reid: If you look at them in a general sense the energy service center business as we call it for City and Apex, it looks a lot more like our service center models on inventory turns margin profile, they don't have as big a value added component so it does move around a little bit. But they're much more a service business for distribution that's out there that's a growing model. Again it's the smaller order size. And so it looks a whole lot more like our service center profile.
Ryall Stroud: Okay great. Great. And just one last one for me and I'll pass the line. So with inventories looking to have been reduced now for about the third straight quarter is there a target inventory level you're currently comfortable with given the current steel pricing and demand environment?
John Reid: Service center is getting close to that target if they're not already there. They're continuing to bring down inventory in this quarter. We look at it as a target turn level. We need to improve on energy and that target turn level needs to improve by at least one full turn is where we would try to get to. To put it in turn -- in numbers is with the decline in price we're chasing a fall in mix. So we try to chase it on a turn volume.
Ryall Stroud: Great. Thanks guys.
Operator: Your next question comes from Frederic Bastien, Raymond James. Please go ahead.
Frederic Bastien: Hi good morning guys. Conditions are challenging obviously for you in the sector, but probably even more so for smaller mom-and-pop operators. So I was wondering if you're finding that potential acquisition targets are more receptive to entering into discussion with you. Or are you actually seeing the opposite?
John Reid: But we really -- it's been more of a flat market right now and that we've had some opportunities that we've looked at. I think as we go into next year that we will have recalibrated the expectations coming of off 2018. Again everybody was a record year. I think the people would've recalibrated looking at 2019 and there should be some opportunities for acquisitions or -- what we would call at a reasonable level.
Frederic Bastien: That's good to hear. Are you -- as you look forward are you still contemplating increasing your exposure to U.S. service centers? Just wondering if your view has changed there with respect to M&A opportunities?
John Reid: Obviously from a footprint perspective and geography, that's where we make the most sense to grow. Canada gets a little tricky. Color was a nice acquisition because again it added a product mix that we didn't have in our footprint in Canada we're number one or two in every region we serve there. So obviously the U.S. is a much larger footprint for us to grow in. But we won't force it either. So it's -- it has to be a good fit for us and we don't like to put people on an island too much where we have a service center out there just by itself and we can't offer any synergies or help. So we're looking to build on our existing footprint or find something that's a larger standalone operation five or six locations.
Frederic Bastien: Okay. That’s helpful. Thank you.
Operator: Your next question comes from Anoop Prihar, GMP Securities. Please go ahead.
Anoop Prihar: Good morning. Marion, just one quick question. You took a $5 million write-down on energy. But then in Note 4 you're showing an $11 million impairment charge. I'm just wondering can you just connect the dots for me on those two numbers, please?
Marion Britton: Yes. So the $5 million was an NRV related to price and tariff stuff that we felt we needed to right-size on energy. We did have another $2 million of obsolescence in the energy area. And then we had $1 million EBIT in Service Center on NRVs and $1 million in steel distributors. Isn't quite -- add up to 10.9 I know but kind of where it fell out a little bit less.
Anoop Prihar: All right. And then John, I'm just curious on the service center side, are you seeing any material difference in the demand Canada versus the U.S.? I mean the numbers were down obviously across the board, but I'm just curious to see or ask you rather whether or not you're seeing any material difference in demand coming out of Canada versus the U.S.?
John Reid: We're not seeing a material difference in demand what we're seeing probably a material difference in is competitive pressure. The U.S. is just a lot more aggressive right now than Canada. Both are under pressure. We collect some of the U.S competitors may be overstocked significantly. So we've seen them be a little bit more aggressive on price.
Anoop Prihar: Okay. Thank you.
Operator: [Operator Instructions] Your next question comes from Michael Tupholme TD Securities.
Michael Tupholme: Thanks. Just a follow-up. Marion earlier in the call you had talked about expectations for gross margins in the service center segment, I believe for the fourth quarter. I just wanted to clarify what you had said about that?
Marion Britton: Yes. We came in at 18.5%. And I think it will be in the -- that level or slightly down to possibly 18%. It depends on how pricing holds in plate and everything. So I think we'll stay in the 18% range, but we could be down slightly from Q3.
Michael Tupholme: Okay. And then similarly, if I look at the gross margin in steel distributors 10.9%. I don't know if I can find the comment as I'm speaking here, but I think I recall reading that you suggested sort of that was -- you saw a normalization in the margins within steel distributors. I think we were in the 13% range, if we go back to Q2. So is this -- are you now at a level there at around 11% in steel distributors that you think is sort of the sustainable level? Or could that still move around?
Marion Britton: That margin is pressured a bit by the price moving down. And I anticipate that will be continued in the Q4 also, but we should come back to more of a 12% level which is more normal in -- starting in next year.
Michael Tupholme: Okay. And then would it be fair to say, I guess all else being equal at this point, but if we do look out to 2020 for your other segments it would be reasonable to think about 2020 as sort of going back to the more typical normal type levels assuming again no further deterioration in price?
Marion Britton: I would agree that if we can make that assumption.
Michael Tupholme: Okay. Yes I mean I know it's perhaps a bit of a big assumption, but we'll see what happens.
Marion Britton: Yes.
Michael Tupholme: Thank you.
Operator: You have no other questions at this time. Please proceed.
Marion Britton: Okay. Thanks everyone for attending the call and we'll talk to you next quarter.
Operator: Ladies and gentlemen this does conclude your conference call for today. We thank you for participating and ask that you please disconnect your lines.